Operator: Ladies and gentlemen, thank you for standing by. Good morning and welcome to the Choice Hotels International Third Quarter 2014 Earnings Conference Call. At this time, all lines are in a listen-only mode. Later, there will be a question-and-answer session and further instructions will be given at the time. As a reminder, today's call is being recorded. During the course of this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its results, which constitute forward-looking statements under the Safe Harbor provision of the Securities Reform Act of 1995. These forward-looking statements generally can be identified by phrases such as Choice's or its management's believes, expects, anticipates, foresees, forecasts, estimates or other words or phrases of similar import. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Please consult the company's Form 10-K for the year ended December 31, 2013 and other SEC filings for information about important risk factors affecting the company that you should consider. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance or achievements. We caution you, do not place undue reliance on forward-looking statements, which reflect our analysis only and speak only as of today's date. We undertake no obligation to publicly update our forward-looking statements to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remarks as a part of our third quarter 2014 earnings press release, which is posted on our website at choicehotels.com under the Investor Information section. With that being said, I would now like to introduce Steve Joyce, President and Chief Executive Officer of Choice Hotels International Incorporated. Please go ahead, sir. Thank you.
Stephen Joyce: Thanks very much. Good morning. Welcome to Choice Hotels' earnings conference call. Joining me this morning as always is David White, our Chief Financial Officer. This morning we are going to update you on our performance for the third quarter of 2014. I’ll give a brief overview of the business results and highlights and then Dave will cover the financial results in a little bit more detail. But I’ve got to say I’m pleased to say that our results were very strong for the third quarter, exceeding our own expectations in a number of key areas. Our core lodging business continued to expand this quarter, driven by domestic franchise system unit growth of 1.6% and impressive RevPAR growth. On the RevPAR front, domestic system wide revenue per available room increased 9% in the third quarter of 2014, with RevPAR for several of our brands achieving double digit percentage growth. Our performance with respect to these two key metrics were the primary drivers of 9% growth in domestic royalties and 8% growth in franchising revenues. Our strong revenue performance, combined with continued cost management discipline resulted in expansion of our franchising margins and 8% growth in franchising EBITDA. We are very pleased with the overall operating performance of the core hotel franchising business. Based on our performance during the quarter and the trends that we have seen continue into October, we expect to continue in the fourth quarter and we’ve raised our full year outlook for the business. On the development front, we executed 133 new domestic hotel franchise contracts for the third quarter. It is particularly promising that many of these franchise contracts are new construction agreements. Our new construction pipeline has been strengthening consistently for each of the past several quarters and in the third quarter we saw executed franchise contracts for new construction of hotels increase 55% from 20 to 31 compared to the same quarter last year. The strength in new construction franchise sales has been a key driver in expansion of the company’s domestic pipeline of hotels under construction, awaiting conversion or approved for development, which increased 14% compared to the same time last year. In addition to a generally improving financing and RevPAR environment, new construction activity is being driven as a result of several initiatives we have undertaken. First, the decision of focused development of our Cambria Hotel and Suites brand in major markets is clearly working. We recently opened a new Cambria in downtown White Plains that aligns our strategic focus for the brand. This follows the opening of the Washington D.C Cambria Hotel and Suites last quarter and a wave of recent groundbreakings and a pipeline of upcoming openings in major markets. Second, we are experiencing an increased pace of new construction projects for our Comfort Inn and Comfort Suite plans with well-established developers in key business and leisure destinations including Denver, Philadelphia, Pittsburg and Houston. We believe that this increased interest in new constructions is a direct result of our multiyear plan to position the Comfort brand as a leader in its category. The plan includes a contemporary new prototype that was designed in collaboration with renowned architecture from Gensler, which offers developers an attractive new construction option just as the construction environment is improving. Last year Choice launched a landmark $40 million property improvement plan to provide incentives to franchisees to help them update their hotels. The financial incentive we provided represents a fraction of the total amount being invested in the brand. Today I’m pleased to say that between our commitment and the capital our franchisees have committed, we estimate that there are hundreds of millions of dollars in upgrades that are scheduled to be completed across the Comfort system by the end of the year. This signals the value these owners place on the brand and their confidence in the direction it’s moving. A new construction development incentive announced last spring is driving significant interest in the previous mentioned prototype, as well as the fact that consumers are responding incredibly positively to the work that we are doing on existing hotels and what they are seeing in new construction. In addition to these initiatives, over the past couple of years (inaudible) for hotels joining the Comfort brand as well as required some hotels to improve or be removed from the system. Third, we are seeing new construction interest from investors that are pursuing development of dual branded hotels. The primary appeal of these projects includes construction efficiencies, operational productivity through shared staff and facilities and the ability to tap into diverse customer bases. This allows developers to capitalize on the market demands of different kinds of travel, business, leisure, transit and extended stay. Finally, we are seeing heightened interest in new construction of our Sleep Inn brand as a result of the rollout of its design prototype and mandatory system wide renovation program which we call Design to Dream. Now with more than 160 hotels with the new design concept, developers are taking note, particular since the Design to Dream hotels are enjoying significant RevPAR premiums and greater guest satisfaction. Turning to distribution, the revenue contribution of our central reservation system increased to 38% in the third quarter, up 230 basis points compared to the same time last year. Choicehotels.com revenue increased by more than 13% for the quarter and we had twice as many days in which our site brought in $5 million or more in revenue, 53 in July -- September 2014 versus 26 last year. Bookings via our mobile applications continued to grow at a pace and yielded an increase of 41% for the quarter compared to the same time last year. Our distribution strategy is delivering great results. We are staying ahead of guests’ booking needs and we are leveraging our distribution channels to deliver an increasing number of customers to our franchisees hotels. Talk a little bit about SkyTouch. I want to give you a brief update but to let you know that we are very excited about the detention for SkyTouch. Since our last call, SkyTouch has continued to gain increasing traction and has seen accelerated momentum on real life sales and on sales and marketing efforts that it expect will lead to future sales. To date, SkyTouch has contracted with approximately 72 hotels representing nearly 5,000 rooms. More than half of these hotels have already come online and are up and running on the platform, with the reminder in the process of being on boarded. Approximately two thirds of the hotels under contract are individual, independent hotels. Importantly, the remaining third of the hotels under contract are a sub-set of the hotels attributable to four separate brands and or management company portfolio groups, representing collectively more than 1,000 hotels. We believe that SkyTouch has an opportunity to expand the SkyTouch platform beyond the currently signed hotels within these systems. Given that the number of hotels with these existing customers is large and represents opportunities for sales growth, SkyTouch’s near term focus is on continuing to deliver strong product results for these customers and on expanding the footprint of hotels within their portfolio that use our system. In addition to results related to actual signings of new customers, SkyTouch has continued to expand the pipeline of potential customers. Its sales and marketing team is tracking brand and management companies representing more than 20,000 hotels. The status of these sales and marketing dialogue with these prospects ranges from introductory meetings and product demos to participation and full blown RFP processes. Based on these activities, we continue to believe there’s strong interest from potential customers for the SkyTouch product. We expect this strong interest to be reflected in increasing sales momentum moving forward. A few other highlights related to SkyTouch, SkyTouch recently received certification from a provider of central reservation systems for a significant number of hotels of the SkyTouch interface with that CRS. This is a significant milestone for SkyTouch as it now has the opportunity to sell SkyTouch hotel OS products to the nearly 9,000 hotels that use that system, including Vantage hospitality, one of the four brand companies I mentioned earlier that have designated SkyTouch as a preferred vendor. This represents the third such central reservation system provider that SkyTouch has been interfaced with. During the last earnings call, we also reference a separate development agreement with a brand company representing more than 500 hotels. That development agreement covered requirements to meet their system needs. We are happy to say that these development efforts are underway and in addition SkyTouch has started discussion around a broader agreement that would bring this chain’s more than 500 hotels on to the hotel OS. We are pleased with the progress of SkyTouch. We remain very excited about its potential impact on our future growth and we will continue to keep you updated on the sales front during future calls, including at some point in the future a call on breakeven and profitability for this division. In our view, our continued investment in SkyTouch represents a prudent, controlled level of investment against a significant opportunity that leverages our core competencies in the hospitality technology space. We continue to be optimistic based on the results to date that our investments in SkyTouch can contribute to enhancing our shareholders value. Finally, before I turn the call over to Dave, I wanted to note that during the third quarter, the (inaudible) to re-purchase a block of approximately 400,000 shares of this company’s stock originally held in the Estate of Stewart Bainum, Sr. The Company repurchased those shares in September. There are approximately 2 million remaining shares held by the estate and it is possible that the company may be offered the opportunity to repurchase some portion of these shares in the future, which we will consider at that time. Overall, we are obviously very pleased with the results of this quarter and where we are headed for the fourth quarter. Now let me turn it over to Dave White to share a little bit more detail about the financial results. Dave?
David White: Thanks Steve. As you may have read in this morning’s press release, we reported diluted earnings per share from continuing operations of $0.67 for the third quarter of 2014, compared to %0.65 per share in the prior year. EBITDA from franchising activities for the third quarter increased 8% over the same period of the prior year due to an 8% increase in franchising revenues and a 40 basis point expansion of our franchise margins. The increase in our franchising revenues for the quarters was driven primarily by continued growth of the franchise system and strong domestic RevPAR performance. Nearly 80 % of the top line franchising revenue growth, which was $7.5 million, flowed through the franchising EBITDA. As a result, our franchising margin expanded from 71.9 % in the third quarter of 2013 to 72.3% in the current quarter. Our domestic royalty revenues increased by approximately 9% to $79.5 million due to a combination of increase in RevPAR and in our system size, partially offset by a four basis point decline in our effective royalty rate. Our RevPAR growth of 8.8% for the third quarter was driven by a combination of a 320 basis point increase in system wide occupancy and a 3.4% increase in our average daily rates. We attribute the increase in occupancy rates and our overall RevPAR improvement to both increased leisure travel which we believe reflects the improving U.S economy as well as our efforts and initiatives to improve business delivery and hotel revenue yield to our franchisees. As a result of the trends we are seeing in the business, and our year to date RevPAR performance month to date through October, we now expect full year RevPAR to range between 8% and 8.5%. On the supply front, we were able to grow the number of hotels operating in our domestic franchise system by approximately 1.6% compared to September 30 of last year. With respect to franchise development, we are pleased that the fundamentals that drive new hotel development and conversion opportunities continued to strengthen as both the RevPAR and financing environments improved. You can see the impact of these trends in our results for new construction franchise agreement executions which have increased approximately 80% year-to-date compared to last year. We are also seeing positive momentum in relicensing activities. During the quarter, we executed 85 relicensing and renewal of hotel franchise agreements, an increase of 18% compared to the same period of 2013. We believe the industry is in the early stages of the supply growth portion of the cycle, which we expect to accelerate over the next several years. We continue to expect our 2014 franchise sales activity levels to exceed last year’s levels. Now let me turn to the outlook for the remainder of 2014. As always, our outlook assumes no additional share repurchases under the company’s share repurchase program. Our outlook also assumes the effective tax rate for continuing operations to be 30.7% for the fourth quarter and 30.3% for full year 2014. Our franchising activity guidance assumes that our RevPAR will increase approximately 9% for the fourth quarter and range between 8% and 8.5% for full year 2014, clear acceleration from our previous outlook that we published in early August with our second quarter earnings release. Our net domestic unit growth consumptions is that domestic units will increase between 1% and 2% and that our effective royalty rate will decline by 5 basis points for the full year. Based on these assumptions, we are establishing guidance for full year 2014 EBITDA from franchising activities to range between $234 million and $237 million. With regards to SkyTouch, we are projecting reductions in EBITDA for full year 2014 of approximately $18 million compared to approximately $10 million in 2013. We now expect our fourth quarter 2014 diluted earnings per share to be $0.34 and our full year 2014 diluted earnings per share to range between $1.99 and $2.03, and finally, our consolidated EBITDA for full year 2014 to range between $216 million and $219 million. We are very pleased with our third quarter performance and we believe we are well positioned to continue our strong momentum for the remainder of the year. And now let me turn the call back over to Steve.
Stephen Joyce: Thanks Dave. So the results have been strong. We are obviously optimistic about the rest of the year and we are also very optimistic about heading into next year. The domestic economy continues to gain strength which we believe should be a positive for the lodging industry. There have been solid gains recently in household employment in September and some improvements in the labor participation rate. Blue chip forecasts indicate job and wage growth is predicted to accelerate modestly, which we see as good indicators for hotel demand in our segments Based on our optimism for the core hotel lodging business, based on our recent results and a heightened expectations for the reminder of the year and our pursuit of new growth strategies like SkyTouch, we believe we are very well positioned for future growth. So with that, let me open up the call and answer any question you might have. 
Operator: (Operator instructions). Your fist question comes from the line of Steven Kent from Goldman Sachs. Please proceed.
Steven Kent – Goldman Sachs: A couple of questions and look, frankly this was a great quarter, so it's hard to find anything to ask too many questions about, but –
Stephen Joyce: Or you could just go with that.
Steven Kent – Goldman Sachs: Okay, Steve. But we have another 40 minutes to kill. So, on the Ascend Collection, the RevPAR was a little weak. It's a small part of your business, but what's going on there? Is there any read across? And then Comfort Inn, there's been lots of investment into that brand; hotels moving out of the system yet the RevPAR maybe not showing as much improvement as we would have thought. So, when do you start to see that -- the benefit of the repositioning? And I'm not sure if you mentioned, one final question, when SkyTouch would become EBITDA-positive?
Stephen P Joyce: Let me start with SkyTouch. So obviously we are very happy with where we are in the sales process and the potential. We think we need probably at least one more quarter to feel like we can give you a serious revenue projection which then will get us to what breakeven is. So I’ll ask you to be patient with us till probably next quarter. We think we can give you some indication. And we’ll let you know one way or the other, but it’s -- we think we are going be in a position relatively soon, whether it’s one quarter or two quarters to give you any idea of hey, we are pretty comfortable we are going to predict this kind of revenue growth and therefore we can tell you based on that what that means in terms of profitability for that division. So we feel pretty good about that. On Comfort, you are right the number of units has gone down because we had terminated a lot of hotels that don’t fit -- meet the standards and the design and look that we are moving forward to. And as a result we are getting lots of better customer response and we are getting renewed interest from the developers. Where we have seen the improvement is in a scenario where they have done the renovation that was designed by Gensler. We are seeing significant lift from those few hotels that are done and remember we incented 300 hotels. Most of them are just coming online, but the early returns looks like we are driving about a 6% RevPAR increase over the market increase. So we are pretty convinced it’s going to work like Sleep worked which where is in Sleep -- I don’t know where we are now, but originally it was about a 10% RevPAR lift.
.:
David White: Sure. Thanks Steve for the question on Ascend. And yeah, you did highlight how Ascend stands out in the midst of the other brands. All the other brads that we have demonstrated RevPAR growth in the high single digit percentage, if not low double digit percentage area for the quarter whereas Ascend was actually down. The key thing there, the key takeaway on Ascend is that that brand is obviously a rapidly growing brand. I think we’re up about 15% year-over-year in terms of the size of the system. And given that it’s got about 100 plus units, given that size, the absolute RevPAR levels are getting impacted by two things. One, the ramp up of hotels that are coming online as that system grows rapidly. And number two, probably more important is just the mix of where the new hotels are being added relative to the existing portfolio. For example, obviously the Ascend hotels that we have in New York City have higher absolute RevPAR levels than the ones that we had in markets that are not New York City, not the top lodging market. So you’re really just seeing a mix of geography coming into that brand, ramp up of the brand as it rapidly grows in scale.
Operator: Your next question comes from the line of Robin Farley. Please proceed.
Robin: Thanks for taking the question. I go with Steve Kent’s sentiment that it’s a good quarter and the RevPAR, increasing RevPAR guidance is very strong. I guess my question is that maybe it's not translating through to as much on the EPS line somewhere coming through EBITDA down to the EPS line as maybe one would have thought with that kind of 8% to 9% RevPAR growth for Q3 and the Q4 guidance. Is the any color on that you can give us?
Farley – UBS: Thanks for taking the question. I go with Steve Kent’s sentiment that it’s a good quarter and the RevPAR, increasing RevPAR guidance is very strong. I guess my question is that maybe it's not translating through to as much on the EPS line somewhere coming through EBITDA down to the EPS line as maybe one would have thought with that kind of 8% to 9% RevPAR growth for Q3 and the Q4 guidance. Is the any color on that you can give us?
Stephen Joyce: Robin, thanks for the question. What I would highlight is for the third quarter. Again about 80% of the growth, the absolute dollar growth in franchising revenues which was round $7.5 million flowed through to EBITDA which we think is a pretty good indicator of the strength of this business model. Having said that, if you were look at our third quarter franchising cost growth, it was around I think 7.5%, which is a bit higher than the full year number, year-to-date number which is trending right around 4%. I think for the balance of ‘14 we are expecting that number, the franchising cost growth to be more in that kind of mid-single digit percentage area. But in terms of the flow through, we felt pretty good about it in the third quarter. There were a couple of timing items on the expense side, a little bit on the foreign currency side as well as some of the impact of the restatements that we’re wrapping up had some impacts. When you think about the fourth quarter in the flow through, the one thing that is maybe not as noticeable from the outlook is that we are seeing a nice pickup in loyalties. It's kind of raising the RevPAR outlook. Just given the timing in some of these openings, some of our conversion properties that were under development incentives, the amount of initial fee revenue we are contemplating recognizing in the four quarter has kind of moved out probably a quarter or two and there’s been a corresponding reduction in the initial fee revenue and the forecast and the commissions related to that. So all in all we are pretty excited about raising our full year outlook by about $5 million at the mid-point on the EBITDA line, which about $2 million of that was driven by the SkyTouch, going to be a little bit less than we thought and the balance relating to the core franchise in business the beat is on the third quarter.
Robin: Is there -- could you quantify -- you mentioned it sounds like it's just a timing issue that if it's just some initial fee revenue moving into Q1 that originally you had thought might be in Q4. Is there kind of a ballpark you could give for that?
Farley – UBS: Is there -- could you quantify -- you mentioned it sounds like it's just a timing issue that if it's just some initial fee revenue moving into Q1 that originally you had thought might be in Q4. Is there kind of a ballpark you could give for that?
Stephen Joyce: I would think about it as like a couple of million dollars to the fourth quarter and then there’s the corresponding impact on commissions expense, normally about 45% to 50 %.
Operator: Your next question is from the line of Felicia Hendrix. Please proceed.
Felicia Hendrix – Barclays Capital: Hi there or good morning. Steve, thanks for the color you gave us in you prepared remarks on the share repurchase activity. We saw that in the release. It definitely stood out because you haven’t repurchased shares since the second quarter of 2012. Previously those buybacks they were done more open market under your share repurchase program. So just wondering, is there a reason why you haven't been more active with that during the past two years? And going forward, how should we think about your share repurchase program, acknowledging that you said if another block comes up, you'll buy that, but just in terms of your current authorization?
Stephen Joyce: Technically I said we will consider, but okay. So let’s talk about this. Look, in ‘12 I guess it’s always good to remind people, we paid out $600 million special dividend, okay? And in doing that we took advantage of we thought was an extraordinary financing market and the fact that our cash flows are so consistent and predictable that we were able to move into that, be very comfortable that we could return that value to shareholders and then at the same time rapidly delever. So we have been doing that since and actually we are getting pretty close to target levels. That has somewhat impacted our decision on share repurchase. Let me just reiterate this because I didn’t do this on the first call and I’ve done on I think every call since that I have been in this company. Our first priority always is return of capital to shareholders, always. And so we are always looking at what is the best way to do that. And so whether it’s a special dividend, whether it’s a regular dividend, whether it is share repurchase. The share repurchase activity was not as active in the last couple of years around this idea of de-levering. However, we had never ever said we wouldn’t and it always though is opportunistic. We don’t believe in programmatic share repurchase. We believe in opportunistic share repurchase and I’ll let Dave talk a little bit about those parameters. But we are -- we’ve clearly viewed this as an opportunity which we took advantage of as we will in other opportunities going forward. Let me let Dave talk about the factors that go into that decision. 
David White : And I think Steve actually touched on most of them. Obviously with the estate shares it was opportunistic in our view because frankly over the past 15 years that we’ve operated the share repurchase program we’ve never seen a block of that size become available to us for repurchase, which to your point Felicia why we normally executed through the other market mechanism. But I think Steve hit the main concept which is two years ago we did this levered recap, took the leverage levels up beyond four, beyond our long range dated objective which is more in the 3 to 3.5 range. And as we said we are getting closer to that range. I think trailing ‘12 to September on leverage we are right around 3.7 times debt to EBITDA. As we continue to migrate the balance sheet towards our optimal leverage levels, we’ll continue to look for opportunities to return excess capital to shareholders as well as make investments in things that make sense like SkyTouch and Cambria and Comfort. 
Felicia Hendrix – Barclays Capital: Great. That's helpful. Thank you. And just while you mentioned SkyTouch, I'll hit on that question. So the revenues for the nine months of the year so far have hit $200,000. You've been consistent saying that the $1 million in revenues, just it's a big jump in the fourth quarter. So can you just help us bridge that?
David White : I think it’s just a reflection of the ramp up. Really as we’ve built up the sales and marketing team during the course of the year, I’d say that our view is that they are starting to hit the stride and that you see the ramp up of hotels coming online is what’s driving the change from the third quarter year to date to the $1 million estimate we have in the outlook.
Felicia Hendrix – Barclays Capital: But assuming that your visibility on that is pretty good.
David White : Yes. 
Felicia Hendrix – Barclays Capital: Okay, great. And then just finally, just on the convert (inaudible) it's slowed. And we are just wondering, is that due to tough comps or is there just something else going on with your conversions or maybe unbranded hotels finding -- is this not the point in the cycle where unbranded hotels are really jumping to execute conversions?
David White : I don’t think I’d read too much into it. I think if you look back our history of convergent franchise sales executions quarter over quarter, you will see quite a lot of choppiness over the course of the cycle. It’s not always up, up, up every quarter. We are not really reading too much into what the convergent contract executions were for the quarter. I don’t think it’s anything that I would say is secular related to the value of our brands which we totally believe are the best brands in the convergent front for hotel owners. And nothing I would say in the industry that’s causing us to think that we don’t have a great conversion opportunity going forward. But I think the quarter results are really just more of a timing issue that we’ve seen from time to time in various fair shares. 
Stephen Joyce: And I think the way to think about it is we monitor this obviously very closely. We are the premier conversion company out there. So we get a much higher percentage of the conversion opportunities available than any of the other companies that we are competing with depending on the hotel. And so it’s -- And we think though that the overall environment for conversion is going to continue to improve. And the primary reason for that is as the hotels do better, they can afford to invest and put the dollars into their hotel that is required in order to convert to our hotels and be one of our brands. So that’s a positive sign on the independent front. And the other front that really hasn’t been around for several years is the opportunity of other hotel companies as their construction pipelines begin to add new product, they will eventually start terminating some of those hotels which they haven’t done in several years. That’s obviously a strong opportunity for us because we’re the next best choice once that brand says we no longer want you as part of our system. And so that part has been relatively slow to recover because the other brand companies have not been terminating hotels as they’ve been waiting for new product to come online. We believe that’s going to start happening next year and then that will build that conversion opportunity. And we monitor very closely, but we will continue to lead and be the top converter of hotels in our space.
David White : The only other thing I’ll add to Steve’s remarks as well, Felicia s that if you look at the full year numbers, keep in mind that last year we had a multi pack transaction of Ascends that was about 25 hotels that are in the nine month numbers for September. And then also the other thing I’d point out is kind of ties into the Comfort strategy is on the convergent front on Comforts, I would say we are being a lot choosier about the conversions that we’re bringing to that brand which really corresponds with everything we are trying to do to strategically drive that flagship brand further up the food chain.
Operator: Sir, you have no questions at this time. (Operator instructions). You have no further questions that have come through. So I would now like to turn that call over to Steve Joyce for closing remarks. Thank you.
Stephen Joyce: Great, thank you. So, that concludes our call. As always thank you for joining us. We are very excited about next quarter and what's going to happen in 2015 and we continue to thank you for your interest in Choice. Have a great day.